Operator: Good day, ladies and gentlemen and welcome to VEON Full Year 2020 and Fourth Quarter 2020 Results Webcast and Conference Call. [Operator Instructions] As a reminder, today’s conference is being recorded. I would now like to hand the conference over to Mr. Nik Kershaw, Head of Investor Relations. Please go ahead, sir.
Nik Kershaw: Good day, everyone. Welcome to VEON’s fourth quarter and year end results presentation. Nik Kershaw here, Group Head of Investor Relations. I am pleased to be joined on the line today by Kaan and Sergi, our Group Co-CEOs, along with our group CFO, Serkan Okandan and Alexander Torbakhov, our CEO for Beeline Russia, will join us for the Q&A session at the end. Today’s presentation will begin with an overview and some highlights of the past year from Kaan. Following this, we will do a detailed review on Russia by both Kaan and Sergi. Sergi will then discuss some of our other larger markets with Serkan giving a review of our fourth quarter financial results. We will then hand it back to Sergi to discuss our outlook and priorities for 2021. As ever, we will ensure that there is ample time for your questions, but we would ask you that you say this for the end of the presentation. Before getting started, I would like to remind you that we may make forward-looking statements during the presentation, which involve certain risks and uncertainties. These statements relate in part to the company’s anticipated performance and guidance for 2021, future market developments and trends, operational network development and network investment, and the company’s ability to realize its targets and commercial and strategic initiatives, including current and future transactions. Certain factors may cause actual results to differ materially from those in our forward-looking statements, including the risks detailed in the company’s Annual Report on Form 20-F and other recent public filings made by the company with the SEC. The earnings release and the presentation, each of which include reconciliation of non-IFRS measures can be downloaded from our website. With that, let me hand over to Kaan.
Kaan Terzioglu: Thank you, Nik. Hello to everyone and thank you for joining us. This year was marked by COVID-19 and the changes that it imposed on our lives. But since the very beginning, we took a proactive approach so that the year was not about what COVID did to our business, but more about what we did as a business in the existence of the new reality. Throughout the year, we kept on executing in delegating more authority to operating country teams, hiring top talent to drive our strategy forward, protecting our employees in all countries that where we operate, accelerating the momentum with 4G deployments, improving the quality of service to our customers, achieving stronger operational foundations, which will carry the VEON group further. I will elaborate further on all these points as we go through the presentation. Today, I am pleased to tell you that in quarter four, VEON Group is back to year-on-year growth, with 1.4% total revenue increase and 0.8% EBITDA growth in local currency. On a full year CapEx investment of $1.9 billion was a significant contributor to the improvement of network quality and capacity across all our markets. Driving the growth of our 4G base, a key foundation on today’s and future growth potential is based on. Next slide. I want to recap some of most significant achievements in 2020. Firstly, we enhanced our governance, implementing a lean headquarters, with local Board of Directors at each one of our operating companies. This new governance allows for greater efficiency and speed in reacting to market conditions. We have also made continuous improvements to our capital structure. I will leave later on for Serkan, our Chief Financial Officer, to update you further. Second, we have reached 80 million 4G subscribers and we are now serving 38% of our base with 4G. This indicates a full 10 percentage point rise in our 4G subscriber penetration, which was possible due to record network rollouts, improvements in network quality and other steps taken in customer experience. Third, we are executing well on our Russia turnaround. We will dive deeper into this key group priority, but for the moment, let me just mention that our Russian operations recorded positive year-on-year growth, both in December and now in January 2021. The fourth achievement I want to highlight is the growth in our digital verticals across the group. Sergi Herrero will expand on this exciting area, which is central to our longer term growth strategy. Next slide. In this slide, you will see the improving trend in our group revenues as the year progressed on a monthly basis. The 1.4% year-on-year growth in Q4 and more specifically, the 5% increase in the month of December was achieved despite the significant drop in roaming revenue. Improving financial performance of our Russia business, which registered year-over-year growth in December, contributed to these group results. Mobile data revenues remain a key driver of revenue growth for the group. And in Q4, we registered a 14.4% year-on-year growth in mobile data revenue. Another growth engine is fixed services, where we saw an increase in demand, usage and subscriber base, which led to 31% year-on-year growth in Kazakhstan, 21% in Ukraine and 10% in Russia. On the next slide, #8, let me elaborate on 4G growth, the cornerstone of our strategy. We have added 20 million 4G subscribers over the last 12 months, reaching to a total of 80 million 4G users. This means an important shift in the structure of our customer base as we now serve 38% of our customers with 4G connectivity, an improvement of 10 percentage points a year ago. Why does this transformation of the customer base matter? You will see some of the reasons already on this slide on the bottom left. Our 4G subscribers consume 2x to 4x more data, churn less and have significantly higher ARPU. Over the next few years, our target is to drive 4G penetration in our customer base up to 75% and this will support not only the growth of our connectivity business, but also will enable our digital product and prospects. We have also added 11 million self-care application users digitizing our relationship with our customers. On Slide 9, you will see what VEON owns and operates, one of the largest emerging markets of our portfolio. We are passionate about simplifying and clarifying our business models, allowing for a better understanding of the underlying value in our assets. We are taking actions on our portfolio of towers, country by country, which until this point were hidden a set of assets in our business. Today, as a group, we have close to 50,000 towers across the 9 countries we operate in. During the year, we are looking to establish dedicated local business units that will allow us to operate in a more focused way this key asset of VEON and offer to all stakeholders a better understanding of the opportunities that it can generate, both for each individual markets and for our group as a whole. Now, let me talk about executing on Russia turnaround. First and foremost, the changes to the management team in Beeline. Team is evident. Alexander Torbakhov, the CEO of Beeline Russia, joined VEON on April 6, 2020. Of the 15 people that report to him, 12 have joined the company after his arrival. With a high degree of motivation, commitment, this team drives and executes Beeline’s turnaround strategy, which has already delivered the recent year-on-year growth in December and January this year. We will have Alexander Torbakhov here with us today to answer any questions you may have later in the Q&A session. On the next slide, for Russia’s future growth, improving our network coverage and quality was the first priority and this slide is the overview of the achievements in this area. Over the past 18 months, we accelerated our network investments, almost doubling our base stations. Being able to stay and even accelerate the course in our 4G investment strategy, as COVID challenged our industry’s revenues was no small feat and I would like to thank our Board for their support on this. This investment improves our coverage and quality, which in turn drives the strong growth in our 4G user base, now reaching almost 50% of our customer base in Russia. We have seen remarkable improvement in network service consistency and speeds, leading to better customer experience in all of the regions in focus, but most notably in Moscow City. Moscow Metro 4G coverage has been completed at a record speed. Across the country, customer experience significantly improved with lower call drop rates and more seamless access to mobile data. Our VoLTE platform is used by one out of three clients. On the next slide, looking to the financial performance for Beeline Russia, from second quarter loss, we have seen Beeline revenue trends improve sequentially over the last past 6 months. In Q4, total revenues were down only by 2% year-over-year and in the month of December, moved to 3.6% year-on-year growth. I am pleased to note that the same positive trend in monthly total revenues continued in January 2021. Now, looking at service revenues, excluding the impact of the drop in roaming and content revenues, we have closed the V-shaped curve in December for service revenues as well. Following 4 months of improvement, adjusted service revenues in December were flat year-over-year. Next slide. In addition to the new leadership team and network improvements, putting customer at the heart of our turnaround strategy has been vital to our operations in 2020. The team relentlessly worked on the optimization of our distribution chain, improving the digital accessibility of our services. In the past 24 months, we have made good progress on reducing our physical store footprint, closing 872 stores during this period. We expect to see further optimization over the next couple of quarters. As we reduced our physical point of sale, we are focused on growing our online presence. Our self-service platform MyBeeline now serves 31% of our subscriber base. Beeline was the first to introduce eSIM remote activation capabilities to the market. The eSIM continues to offer an alternative digital channel for new customer acquisition. As the digitalization efforts in our sales operations continue, revenues from online sale of devices increased fivefold and online sale of SIM cards grew by 10% year-over-year in the quarter. Next slide. We are also improving of the customer experience with simple tariff plans that correspond to the needs of our customers play. We have introduced Generation Z, a new innovative tariff plan, which allows the user to practically curate their own offer. This tariff is managed through our digital self-service platform MyBeeline app. Our Friends and Family offer is another plan that has been well received by the market with 20% year-over-year increase in subscriptions and all-time low churn levels due to improved experience on the network. With all the steps taken at all the stages of the customer journey, we now have more customers who benefit more from our services and stay with us longer. This is shown on the top right side of the slide that our quarterly churn rate is down around 2.3 percentage points year-over-year proving we are heading in the right direction. Next slide. In 2020, fixed line became a growth engine as seen on Slide 16. Beeline’s fixed line business showed strong growth in the second half of the year and reached 9.7% year-over-year growth in Q4. The targeted investments meant that we were able to deliver customer needs better as work from home, online education and online entertainment became the norm of life. Today, we have over 200,000 kilometers of fiber in Russia, which connects 30% of our base stations as well as giving us the backbone to serve our B2B and B2C customers with fixed services. In 2020, our fixed customer offering saw 41% growth in data traffic and our subscriber base grew more than 9% year-over-year. More than half of our fixed subscribers also benefit from Beeline’s mobile services, creating a multilayered conversion engagement. With 13.9 million homes passed as well as a growing B2B opportunity, we are confident that our fixed business will continue to grow, supporting our overall service and total revenues in the years to come. Let me now hand over to Sergi to discuss the digital business in Russia. Sergi?
Sergi Herrero: Thanks, Kaan and hi, everyone on the line. Let me start with a few words about our group digital strategy before updating you on the progress we made in Russia and other markets. We see huge potential to deploy digital services across all of our markets and we are going about this in one of two ways, depending on our local competitive advantage and the digital maturity of the market. In countries like Russia and Kazakhstan, we decided to go deep in specific verticals like fin-tech and ad-tech, where we can establish a strong competitive advantage by leveraging our big data and AI capabilities. For countries like Pakistan and Bangladesh, we believe we can go one step further and establish a dominant ecosystem that provides a range of digital services built around our market leadership in fin-tech with JazzCash and entertainment with Toffee. Let’s now complete our Russian review. Slide 17 shows you the positive results delivered by our Russian B2B business during 2020. As shown on the left, this post mid-single-digit top line growth in the first three quarters accelerating to double-digit growth in Q4. This has been supported by valuable partnerships with companies in other industries, through which we help them increase customer reach, drawing on our expertise in big data and analytics. The cornerstone for these services is what we call analytics-in-a-box a toolkit that improves company’s targeting capabilities in video, audio and geo-analytics. This has driven large rises in our big data and ad-tech revenues, which grew by 44% and 14% respectively in Russia in Q4, helped by the growing number of corporate partnerships we now establish. Let’s now take a closer look to our digital opportunities in Russia. As shown on Slide 18, our goal here is to establish deep vertical partnerships in each of the three core competencies: fin-tech, ad-tech and entertainment. These are massive addressable markets, which are still largely unmet. They provide us with a wealth of possibilities to deliver digital services, either directly to customers or indirectly to them via partnerships or joint ventures. Fin-tech has the largest potential. It’s a $110 billion market, growing 15% annually and is already providing us with opportunities to work with leading financial institutions to enhance the retail banking capacities. Ad-tech is a B2B market, which is already an $8 billion opportunity and is growing double-digit. Here, we are working with a leading retailer to transform in-store experiences through contextualized marketing. For entertainment remains a fragmented market, with relatively low penetration rates, which offer us a great opportunity to have served Beeline TV, technologically advanced and localized content offering. We come to each of these opportunities well equipped with 50 million plus customers, a high-speed data network and advanced capabilities. We are now adding a growing list of strategic partnerships, which will allow us to strength Beeline TV reach into a host of other industries. Slide 19 sets out the progress we already made. On the fin-tech side, we have a flourishing relationship with Alfa Bank, one of the nation’s leading lenders. Here, Beeline’s digital team has developed an AI-driven technology that creates customer profiles based on their interaction with our services, which Alfa is now using to drive its customer on-boarding process and credit scoring. We are improving and speeding Alfa’s credit application procedures to the use of mobile IDs, which is 3x faster compared to the previous model. On top of that, Alfa is now issuing co-branded credit and debit cash with Beeline. Around 20% of the cash that Alfa issue now, are Beeline brand. In return for which, we received both a lead fee and a share of future income. The relationship with Alfa continues to grow and extend to other services and became the model for how our data capabilities can help boost customer reach for other financial institutions. In retail, we have established a strong partnership with one of Russia’s leading franchises, X5, to provide big data analytics, to provide indoor marketing. This brings the ad-based revenue model of social media companies into the store by displaying tailored ads to individuals at the point of sale. Beeline technology is now being used in 250 X5 stores, which have a combined customer footfall of 300,000 people a day. We have also automated the management of X5 transactional data, accelerating processing times and strengthening payments connectivity across its network of stores. In entertainment, we have launched a new version of Beeline TV with a big data-driven recommendation engine that tailors content based on customer behavior metrics. This goes way beyond multimedia-based engines that drive other platforms and speeds out the customer experience of selecting the consuming titles, boosting engagement. We are already seeing the early impact of this new format. Customer watching hours increased by 2.5x year-on-year in Q4 and our model active user base expanded by one-third to 2.7 million. Let me now turn to other markets and to live examples of how we are establishing dominant ecosystems by strengthening our digital market leadership. The verticals are similar, financial services, entertainment and in the middle here, e-commerce. JazzCash is the foster child of what we aim to achieve in financial services. We have increased its dominance by adopting a winner-takes-all approach and offering a full range of digital financial services to customers and merchants. 2020 was an excellent year for that business. JazzCash monthly active user base grew by two-thirds to 12.2 million and its merchant network expanded to 57,000 monthly active partners. The total value process across the platform amounted to around $14 billion. To build on top of that success, we recently announced a global partnership with MasterCard. This partnership will allow us to expand our customer and merchant proposition in Pakistan and the other top key markets. The products that we are going to add range from issuance and processing platforms to cutting-edge analytics that will allow us to provide tailored services to SMEs and customers. Looking next at e-commerce, ShopUp in Bangladesh illustrates the value that we can bring to a B2B platform through our expertise in digital payments. That was a key opportunity driving our investment in that platform in October last year. And although it’s still early days in our partnership, ShopUp’s recent growth suggests that considerable opportunity ahead of us help broaden the platform capabilities. Moving now to entertainment, Toffee Bangladesh demonstrates how breaking the mold of traditional content services can bring success where others have failed. In a market where international subscription-based models have largely been unsuccessful, Toffee is focused on sports and a combination of local, regional and user generated content is driving high levels of engagement in our platform. The growth at Toffee is a clear confirmation that the product has a market fit. From launch in November 2019, Toffee closed 2020 with 2.3 million monthly active users, amongst which half of them are daily active users. On top of that, around 70% of these are not currently Banglalink SIM customers. This scales the opportunity for us to grow Banglalink subscriber base further with Toffee, while continuing to grow the products advertising and subscription revenues. Turning now to individual markets. Let me start with Pakistan. I am pleased to report Jazz record a record quarter with its highest ever revenues, which grew by almost 4% year-on-year in local currency in Q4. 4G subscribers’ growth was a major tailwind. We added close to 10 million subscribers over the course of 2020 and increased the 4G penetration of our subscriber base by 12 percent points to 38%. Alongside growth in JazzCash, our Jazz World self-care app, more than doubled its user base year-on-year in Q4. This is enabling higher levels of customer engagement and is proving to be an important digital channel during this pandemic. Pakistan’s EBITDA performance looks subdued, but is distorted by a change in accounting treatment of our [indiscernible] spectrum license and a one-off item in Q4 2019. It also reflects the investment we are making to accelerate the growth of JazzCash. Adjusting for this, underlying EBITDA grew by plus 9% year-on-year. Turning next to Ukraine, Kyivstar delivered a really strong quarter, demonstrating a full recovery to pre-COVID operating trends. Revenue grew by 15% year-on-year, driven by double-digit ARPU growth, which reflects a rise on our 4G penetration rate to 36%. Data growth was strong again, rising by 28% in Q4, almost like the pace of our total services revenues. Fixed line revenues were strong as well, increasing by 21% as home working continue and we met this demand through additional fiber rollouts. Like Russia, B2B is an important market for us in Ukraine. Here, we have expanded our capabilities by creating an open API ecosystem to encourage Ukraine developer community to engage with our services. Finally, I am really proud of the international recognition that Kyivstar team received in the European Excellence Awards for their Smartphone for Parents campaign, which encourages digital literacy amongst older generations under [indiscernible]. This is a good example of the many programs our opcos are running day-to-day to help bring down the digital device between generations and communities. Finally, let’s turn to Kazakhstan, which like Ukraine is demonstrating that it’s back to full strength, delivering 20% year-on-year revenue growth in Q4. Kazakhstan has the highest 4G penetration rate of our markets. This ended Q4 at 54%, growing by 13 percentage points over the course of 2020. 4G adoption is driving strong data revenues, which rose by 31% during the quarter. It’s also encouraging the adoption of digital services like Beeline TV, where we doubled our user base year-on-year. Our fixed line business is also driving data growth as subscribers stream content from home. Fixed line revenues grew 31% in Q4, helped by a big focus on conversion products. This customer base grew by close to 80% and now accounts for one in five of our customers. Kazakhstan is another growth market for mobile financial services. We have been expanding our ecosystem of agents and saw a 40% growth in our wallet users in Q4. We are also expanding the reach of high-speed connectivity to rural communities. Here, we are proud to be part of the nation’s 250 plus program through, which we are sharing networks with other operators to help reach digital device between communities. With that, let me hand over to Serkan to take you through our financial results at the group level during the quarter. Serkan?
Serkan Okandan: Thanks, Sergi and hello to all participants. In the coming slides, I will now elaborate on our financial results in more detail. Moving to Slide 25, after several challenging quarters, I am pleased to report that VEON Group returned to growth in the last quarter of the year, with almost all of our markets showing improved year-on-year trends compared with Q3. As Slide 25 sets out, revenues grew by 1.4% year-on-year during Q4 in local currency terms, led by steady improvement in Russia and double-digit growth in both Ukraine and Kazakhstan. On a reported basis, this corresponds to minus 11.3%, once currency movements of $269 million are accounted for. Group EBITDA followed revenues, rising by 0.8% in local currency terms or minus 11.6% on a reported basis. Once again, we continue to prioritize 4G network investments across our footprint. This was reflected in year-on-year rise in Group CapEx, up by 16.5%, with CapEx intensity at 23.7% for the full year. Our EBITDA margin for the full year was brought to flat at 41.4% and net profit for the quarter was at $35 million, mainly due to adverse currency effects. Group leverage in the meantime, which we now show on a post-IFRS 16 basis, was 2.3x. As Kaan has mentioned, that in line with our internal guidance of around 2.4x, which corresponds to 2x multiple we have communicated before as our comfort level on a pre-IFRS 16 basis. Looking at these numbers in greater detail, Slide 26 sets out our Q4 results alongside our full year numbers and the corresponding year-on-year growth rate for each. The left hand numbers illustrate our return to growth in local currency revenue and EBITDA in Q4, following the sequential improvement we saw during Q3. To help comparison with last year, this slide also sets out an adjusted value for EBITDA, which is relevant for the full year comparisons once two non-recurring items are excluded, namely special compensation we received in Q2 last year of $38 million relating to the ending of a network sharing agreement in Kazakhstan, and secondly, $350 million we accounted for as other operating income in Q1 last year relating to a one-time vendor payment. You will see that if these are adjusted for, the year-on-year decline in group EBITDA is considerably lower, falling only by 2.1% in local currency terms. I would also note that the group saw a clear year-on-year improvement in full year net profit, if we exclude non-cash impairments and the one-off I mentioned earlier. On this basis, net profit grew by 16% year-on-year. As a reminder, for more information on the impairment charge related to goodwill in Russia that we recorded in the third quarter of 2020, please refer to the appendix slides of this presentation. On Slide 27, we show you our revenue performance in more detail. Almost all of our markets recorded improvement in year-on-year growth trends in Q4, including Russia, where the 2% decline is a significant recovery from the 7% decline in Q3. The double-digit growth rate recorded by both Ukraine and Kazakhstan illustrate the potential of our market to recover once severe lockdowns are relaxed. Both markets are also enjoying strong levels of 4G adoption, which is helping to drive double-digit growth in ARPUs. Growth in 4G subscribers was seen in all of our markets and this helped the group to grow its mobile customer base once again in Q4 by 2 million to 209 million subscribers and to record another quarter of double-digit mobile data growth. You will also see that the impact of ForEx movements on our reported numbers on this chart, which at $269 million for the quarter meant that reported revenues decreased by 11.3% year-on-year, while we reported a year-on-year increase of 1.4% in revenue in local currency terms. Turning now to Slide 28, EBITDA in local currency rose by 0.8% versus Q4 last year, helped by the double-digit growth we enjoyed in Ukraine and Kazakhstan. The slower trends we saw in Russia reflect the COVID-driven decline in roaming and our cleanup process in content revenues, both of which are high-margin revenue streams. It also reflects operating costs associated with our network investment program and the transitioning of network maintenance activities in-house, which is temporarily resulting in higher OpEx in Russia. Cost control was again a key focus for us throughout the quarter, particularly at the HQ level, where we more than halved our group overhead compared to last year. This currently stands at $41 million versus $105 million last quarter of 2019. Finally, currency headwinds of $112 million impacted the reported EBITDA, which declined by 11.6% year-on-year. I would also like to underscore the resilience that our operating companies demonstrated throughout 2020 in terms of cash generation. This is summarized on Slide 29. All of our major markets contributed positively to our operational cash flow, which at the group level, amounted to over $1.7 billion. We have also worked hard to reduce financing costs, which includes savings around $100 million in annual run-rate interest expenses. This is helping our equity free cash flow, which after lease payments and licenses amounted to $357 million for 2020. I would also like to reiterate that the group will not be paying a dividend for the full year 2020 in line with our previous guidance. While it is encouraging to see positive equity free cash flow, our immediate focus remains on privatizing network and digital investments to seize the growth opportunities we see in the future. This decision also reflects the ongoing put option process to move to full ownership of our Pakistan business and to simultaneously manage group leverage within our internal guidance of around 2.4x. Let me now move on to recap our recent activities, including our capital structure. 2020 was a busy year for us on the financing side. The key highlight here is our $6.5 billion medium-term program, which we established in April. This enabled us to take advantage of favorable capital market conditions three times during the course of the year and refinanced over $1.6 billion reversal debt at lower coupons and longer maturities. As a multicurrency facility, our two ruble-denominated draw-downs under the MTN program also enabled us to increase our ruble borrowing to match our ruble revenues more closely. We have also adapted this approach in Ukraine and Kazakhstan, entering into local currency loan agreements worth around $170 million during Q4 to better match to our revenue footprint in each currency. The impact of our financing activities is clear from these graphs. First of all, our average cost of debt in multiple currencies now stands at 5.9%. That’s 150 bps lower than it was in Q4 last year and save us around $100 million per year in interest expenses. And secondly, our average maturity has risen by more than a year to 3 – to 3.5 years over the same period. Our MTN program still has considerable headroom, and we will continue to remain vigilant for market opportunities to refinance at lower coupons and longer tenors, while improving our debt currency mix as well. Slide 31 shows the currency mix of our debt in more detail as well as the impact of our hedging activities. A couple of points to note here. Our U.S. dollar cash balance looks high, but this reflects a timing issue between our U.S. dollar bond issue in November and the repayment of $262 million of bonds that matured early in February. We are also holding U.S. to our cash for the settlement of the ADG put option in Pakistan, which will be used once this process completes. Adjusting for this, our net U.S. dollar and ruble exposures, taking into consideration both our hedges and cash balances, are closer to 52% and 43%, respectively. This slide also illustrates the maturity profile all of our debt. The two large columns in 25 and 27 reflect the scale of our refinancing activities in these maturities during the year, which have helped to push out the average maturity profile of our borrowings to 3.5 years. Finally, I would once again drive your attention to the considerable liquidity that the group has accessed to amounting to $3.2 billion, split equally between cash holdings and undrawn credit facilities. Moving to Slide 32, summarizing how group debt changed over the quarter. Group net debt, excluding lease liabilities, rose modestly during Q4 to $6.1 billion, which mainly reflects ruble appreciation versus the U.S. dollar during the quarter. Along with the decline in reported EBITDA, this resulted in a small quarter-on-quarter rise in our leverage ratio to 2.3x post-IFRS 16 from 2.1x in Q3, which is in line with the internal guidance of around 2.4x. From what we have shown in these last 3 slides, we can confirm that the group remains in a strong financial position to face possible future macro headwinds. This has been our prime objective given the macro uncertainties that the past year has presented to us. Let me conclude my remarks with our outlook and expectations for the year ahead. On Slide 33, we are today introducing new financial guidance for 2021, which anticipates low to middle – sorry, low to mid-single-digit local currency growth in both group revenue and EBITDA, and CapEx intensity of 22% to 24%. Our guidance assumes the steady recovery we have seen in our operations continues. It also assumes our markets do not see the return of prolonged strict lockdown measures. Let me also highlight that the recovery we have seen across our markets since the end of Q2 may not be linear, while challenges continue on the road back to no full normalization of businesses. But as markets like Ukraine and Kazakhstan are already demonstrating, there is no reason to assume that our businesses will not recover fully. And demand for our services will not be reduced by the pandemic that to the contrary has underscored the value of connectivity. With that, let me hand back to Sergi for concluding remarks. Thank you. 
Sergi Herrero: Many thanks, Serkan. Let me conclude our presentation with a summary of the group’s priorities in the year ahead, which are set out here on Slide 35. We are fully committed to maintaining the pace of our 4G network rollout and accelerating the growth of our 4G subscriber base. These are the fundamental drivers of our core business as well as the enabler of our digital ambitions. This is a key priority in Russia, whereas we saw in Q4, it is driving positive subscriber trends that will help revenue growth resume, which we remain on track to achieve during the first half of this year. It is also supporting the double-digit growth potential of Ukraine, Pakistan and Kazakhstan, which we are pleased to see recovering strongly from the lockdowns. We are 100% committed to build scale in our digital services in every market. This includes deepening the verticals I described in Russia and deploying ecosystems where we are establishing in the markets like Pakistan and Bangladesh elsewhere. Away from our operations, we continue to monitor market conditions for opportunities to further optimize our capital structure and our portfolio of markets remain under constant review to ensure that our capital is deployed in growth opportunities that we believe can maximize shareholder value over time. Our cost base is a priority for our leadership teams, and we will look to make sure further adjustments here to ensure our business operate as efficiently as possible. Finally, we are in the process of separating our towers from our operating business, as a first step towards ensuring their value is fully recognized by the market. More on this, once we determine our scope of opportunities here. With that, let me pause and hand the call over to the operator for your questions.
Operator: Thank you. [Operator Instructions] Thank you. And your first question comes from Ondrej Cabejsek from UBS. Please go ahead. Your line is open.
Ondrej Cabejsek: Hi, thank you and congratulations on the progress that you’re making. I have a couple of questions for the outlook mainly. First one in terms of CapEx, so you are now giving us a lot of KPIs for Russia, especially, but you’re also guiding for roughly similar CapEx intensity for 2021. Can you speak a bit about how much of that is still going towards improvements in Russia and how much of that will now be kind of reallocated to other markets or segments? Second question on your priorities for next year, you’re talking about potential streamlining of the portfolio. I know this is, I guess, down to various factors, but how are you today thinking about Algeria? I mean if there is a good price, is that something that you can now say that you will be looking to sell? And finally, on the towers, if I may. I mean, beyond, a history of trying to do JVs or sell towers in Pakistan, is there a way that you’re thinking about potentially monetizing towers and what you’re strictly not because, I guess, with your balance sheet kind of sale and leaseback would not probably be the best option, how you’re thinking about this? Are JVs, your primary concern or are you still looking at selling parts of the portfolio in some of these markets? Thank you. 
Serkan Okandan: Thank you for the question. Let me answer first the portfolio question, and then I’ll pass it to Kaan for the CapEx on the towers space. As you know, we are constantly reviewing our portfolio. We do that on a 6-monthly basis. We sell Armenia because we felt it was an operation where we were not positioned to extract the maximum value. And our local shareholders, there we’re in the best position. We think the same way for other markets. And our view is to focus on the markets where we can make a shift and increase our value for shareholders and move on on the others that perhaps are not important for us. When it comes to Algeria, you will see that in a country that has a lot of potential, that we’ve been pushing really hard on many aspects. When the put option arrive which is July 1, we will make a decision. At this point, there is nothing changing from our previous view, which is we are happy where we are. We are continuously focusing on rolling out 4G and improving the international connectivity. So when July comes, we will update you accordingly. Kaan, do you want to comment on CapEx and towers?
Kaan Terzioglu: Sure. Sure. So Ondrej, thanks a lot for the question. On the CapEx side, our CapEx investments are focused on 3 important dimensions: capacity, coverage and quality. And as I mentioned, we have reached now with the addition of 20 million additional 4G customers, a 38% penetration of our subscriber base in LTE. We have to increase this penetration rate up to 70%, 75%. That will practically mean that you’re going to be seeing similar amount of investments as we have by this year in 2021 to continue. Approximately, half of this investment naturally goes to Russia, where half of our business is taking place. But as I mentioned to you, the 4G penetration rate in Russia is slightly higher towards more closer to the 50% range. So that can give you an indication about what that could mean for the market as a whole. Now with regard to the towers, the towers business, as we move from 4G to 5G type of platforms and higher densification as countries also prioritize rural area access on their digital and digitalization plans is becoming an area where we are going to be seeing more scalability requirements, more standardization requirements, which ultimately requires independent tower operators. What we will be doing this year to make sure that we simplify our business models and we crystallize the value of our tower assets so that we have closable options for the future. These options could be merger of our operations to create these scalable and standardized independent tower operation capabilities. Some of that could be monetization of these assets. Some of them will be actually getting focused and much more efficient operations of these entities and having shares of bigger JVs rather than our own tower infrastructure. So we will be keeping our options open as we make sure that country by country, we prepare our operations for all these closable cases.
Ondrej Cabejsek: Thank you. And if I may, a short follow-up on the CapEx, so you’re kind of indicating that half of the CapEx next year more or less should still go to Russia. What are the kind of KPIs that you are looking for, because you’re clearly presenting some very good progress there. So what else is in the pipeline? And then the second one, you are talking about reaching much higher penetration on basically doubling your penetration levels of 4G users. That is obviously enabled by 4G coverage and devices, etcetera. So is this an indication that elevated CapEx levels may stay with be on for more than just 2021?
Kaan Terzioglu: First of all – and quick answer to your question. Yes, you should at least see our current level of CapEx for another 2 years to continue as we increase that 4G penetration. And we increased from 28% to 38% this year from ‘19 to ‘20. And you will see us probably reaching around 50% this year at the end of this year. So we will need to continue this trend until we reach 70%, 75% in order to sustain our growth and also customer satisfaction levels. Now when I talk about the Russian piece, I mean, 2019 was a period where we focused on three key markets in Russia, and they are Moscow, Oblast of Moscow, Greater Moscow, the metro of Moscow, St. Petersburg, metro of St. Petersburg and partially Krasnodar. And this was our first phase of making sure that we provided customers what they really demanded from us. And the results as you can see, is astounding success. Now this year, we’re going to be moving to the next stage on the next 16 priorities that we have. And I would like to invite Alexander Torbakhov, he is on the call with us. Just first of all, to introduce him to yourselves, but also to get this perspective about what we intend to do this year on the network rollout. Alexander, are you with us?
Alexander Torbakhov: Yes, Kaan, I am here.
Kaan Terzioglu: Yes. Go ahead.
Alexander Torbakhov: Actually, you have said the main thing already. So we unfortunately Beeline underinvested previous years into its network and lost the positive attitude from many clients and that resulted in the loss of client base in 2019. And the work we performed in 2020, we actually reached the lowest point of our performance in May. And that was accumulated with quality problems. But since then, we are growing steadily our client base and our revenue top line. And definitely, as Kaan mentioned already, we will continue to do this year and next year because we have to invest more into the quality of our network. But in addition to that, I want to say that it’s not only about CapEx, actually, we made a lot of optimization exercises. And I can say that, for example, in Moscow, our network is one of the best in the city. So – and our clients start to feel that already.
Kaan Terzioglu: Thank you, Alexander.
Operator: Thank you. Your next question comes from the line of Henrik Herbst from Morgan Stanley. Please go ahead. Your line is open.
Henrik Herbst: Yes, hello. I’ve got two questions, please. I was just wondering, firstly, in terms of your guidance, you’re saying low to mid-single digits in local currency. I guess you exited 2020 as you were saying about 5% growth, if I got the chart right in local currency? And I guess Russia is just about sort of timing – your comps are getting quite a lot easier throughout the year. So I was just wondering the sort of low single digits. Well, what are you sort of, in particular, thinking about as the main risks that could make you end up at the sort of low end of that guidance? And then secondly, I guess, I just wanted to get your thoughts on dividends. Maybe it’s too early about dividends for 2021. I guess you haven’t said anything really on that yet. In terms of – I guess, if you do indeed end up sort of mid-single-digit local currency growth and currencies don’t really sort of move very much throughout the year, I mean what’s – how should we think about the potential for you to start to pay a dividend again or should we – do we have to wait until you are sort of through the CapEx, heavy CapEx investment cycle? Thanks very much.
Kaan Terzioglu: Henrik, thank you very much. Let me give a flavor of the – where we stand in terms of the business outlook that we see. And then I will leave the word to Serkan to answer in further detail about the dividend question. I think you will not criticize us being a little bit prudent on the outlook as we just see the vaccination efforts throughout our operations. And we would like to keep an eye on that. And probably, we will give you the right and exact answer by the end of Q1 in terms of what those expectations will be. But from this perspective, I would like to keep our presence in terms of where we head in the momentum of the business. Serkan?
Serkan Okandan: Thank you, Kaan. And thank you for asking this question because when we see the initial notes from the MS, we see that this question is coming in many reports. So if you let me, I want to spend a little bit more time to explain more detail about this question. First of all, some housekeeping matters. As you know, we have a dividend policy. We said that this 50% free cash flow after licenses subject to maintaining our leverage ratio around 2x pre-IFRS 16, which is equivalent to 2.4x post-IFRS 16. So this is our policy, dividend policy, and I can reconfirm that our dividend policy still in place. So there is no change in our dividend policy. Having said that, in 2020, as you saw in the numbers we generated $357 million equal to free cash flow. However, we are expecting to use some part of this cash generation for the ADG put option exercise in Pakistan when the transaction complete. So that’s why – that’s one of the reasons that we don’t pay dividend for 2020 because that put option is the current M&A transaction. So what’s going to happen in 2021? First of all, we started to see and report year-over-year growth in revenues and EBITDA as well in Q4. And we are hopeful and very bullish that during the year 2021, we will start to report higher year-over-year growth pace in all KPIs, including revenue, EBITDA, hopefully, in cash flow as well. So first of all, we want to deliver better results in 2021. Secondly, there are a couple of other things that we are focusing and continue to focus on the portfolio optimization in 2021. In the meantime, you will see that we will be very active in the DCM markets and banking markets, like we were in 2020. We are going to be in the market, hopefully, after each and every results announcements on a quarterly basis, and we will keep to focus on improving our capital structure, by doing what, by increasing our tenors from 3.5 years, reducing our cost of debt further. And in the meantime, this way, we want to focus on to improve our currency mix as well. So hopefully, by better results, better portfolio and better capital structure by the end of ‘21 and with the same dividend policy, we will be in a much better position in front of our Board for a dividend proposal for our shareholders. And of course, the final decision will be made by our Board. But from a management perspective, our homework is to deliver, as I said, better capital structure, better results, better portfolio, so that the dividend distribution decision by the end of ‘21 can be made easier than this year.
Henrik Herbst: Alright. Thank you very much.
Operator: Thank you. Your next question comes from Ivan Kim from Xtellus Capital. Please go ahead. Your line is open.
Ivan Kim: Hi, yes, good afternoon. Two quick questions from me. First, can we use the $35 million cost as a run rate for ‘21? And then secondly, can you comment on directionally on directionally where NPS in Russia is going now in, let’s say, January? How it’s – how are you performing your peers? Thank you.
Kaan Terzioglu: Thanks, Ivan. Let me start with the MPS question, and I will leave the other question to Serkan. When you do improvements on your network, there are two cycles of results that come up. The first one is quality improves, and you see a direct impact on the churn rate that goes down. And this is exactly what we are experiencing today. The NPS is a little bit more delayed response that will come from the market as people talk to each other about their experiences, improved experience. So you will need to give us a little bit more time for us to talk about NPS, but probably by the midyear this year, we will be getting more concrete answers to – also to the NPS issue. But we are very comfortable, and we see the momentum on the churn side in terms of our existing base, having better experiences and therefore, staying with us longer and providing less complaints in the system. These are already measurable and under record. Serkan?
Serkan Okandan: Yes. For the run rate assumption for net profit, as you know, there was no one-off item impacting P&L in Q4. However, since they’re reporting in U.S. dollar while operating in non-U.S. dollar countries, so we are exposed to FX gain and losses, depending on the direction of the local currency movement. So for example, in Q4, we recorded $45 million loss. So – but the part from that, if you can make an assumption for the FX, you can use this as a run rate. But again, as I said, this is subject to FX dynamics during the respective quarters.
Ivan Kim: Yes, Serkan. Sorry, I was just asking about headquarter costs for...
Serkan Okandan: Sorry. I took the question wrongly, sorry. For the headquarter cost, you can take this as a run-rate, but you will see gradual decrease during ‘21 as well. So it will be gradual decrease, but not as significant as we experienced this year.
Ivan Kim: Great. Thank you very much.
Kaan Terzioglu: Thanks, Ivan.
Operator: Thank you. Your next question comes from Alastair Jones from New Street Research. Please go ahead. Your line is open.
Alastair Jones: Yes. Hi, thank you for the call. Just two quick questions. Just firstly on Russia, it would be great to get a perspective of the competitive environment that you’re seeing at the moments and in particular, around the strategy around tariffs. I know a year ago, there were some price increases in the market. There is sort of talk that maybe that can happen again potentially. If that was to happen, I mean, would you follow? Are you – do you feel like you’re in a position where you can charge a little bit more given the quality of the service and the metric investment you’ve done or do you sort of feel still having a slightly discounted price will help you in your sort of strategy to gain – potentially gain back some of the share that you’ve lost? And then secondly, just on Pakistan, you exited the year, I think Q4, you growth of around about 3% top line growth. And you are talking about double-digit growth for the foothold by 2021. So just get some understanding around what you think is going to be recovering or that growth? How that growth is going to come through? Is that purely just easier comps given the COVID impact or are there other sort of significant impacts or issues that could potentially help that growth rate? Thanks a lot.
Kaan Terzioglu: Sure. First of all, with regard to the Russia, if you noticed, we started to give some flavors of our new customer value propositions, and this is only the beginning. You will not see us getting aggressive on the pricing. On the contrary, our strategy has been always been more for more, more quality, more services and in exchange for more relevance and, of course, more revenues. So you will see the trend over that direction. And I think, overall, the Russian competitive environment is rational in terms of market dynamics. On the tower side, Russia is one of the most advanced markets that we have. We do have a tower company, National Tower Company. And I think we will be focusing as a top priority. When it comes to crystallizing our values, Russia will be one of our top priorities.
Alastair Jones: Great, thanks. And just a follow-up, sorry, on Pakistan, just the growth was around about 3%. You are looking at double-digit growth.
Kaan Terzioglu: Yes. I mean, Serkan, please correct me if I’m wrong, but Pakistan, the year 2020 was a very particular year. If you would normalize our Pakistan business with the motto of 2019 and all the changes in the regulatory environment, actually, we see Pakistan business mid-teens growth in terms of the potential. And I think that’s how we see the business, and I’m particularly happy with that. Sergi, anything to add?
Sergi Herrero: Yes, sorry, I was on mute. You are right, Kaan. So the impact that you are seeing is because of these one-offs. But besides that, if you normalize it, we see a healthy growth. We believe that with the investment that we are making on the network and the continuous increase of 4G customers, we should see this momentum keeping up during 2021.
Alastair Jones: Thank you.
Operator: Thank you. We have no further questions at this time. I would now like to hand you back to Nik for closing remarks.
Nik Kershaw: I would just like to thank everyone again for dialing in this afternoon. If you do have any more questions, please reach out to us. Take care and we will speak soon. Thank you very much. Bye-bye.
Kaan Terzioglu: Thank you.
Serkan Okandan: Thank you.
Sergi Herrero: Thank you all.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.